Fredrik Wester: Hello, and welcome to the Year-end Report and Quarter 4 Report for Paradox Interactive. My name is Fred.
Alexander Bricca: I'm Alex Bricca, I'm the CFO. Welcome, everyone.
Fredrik Wester: Welcome. So we'll take you through the releases and the numbers for the quarter. And as you know, we had a very eventful last quarter. It was [indiscernible] for many reasons. We had a lot of releases, first and foremost. So we released DLCs for all our major franchises. We created a good cash flow and a strong top line, where the results were hampered by a big write-off in the quarter. So we had a great release of Europa Universalis 5, which took this franchise to the next level, and it also celebrates 25 years. It celebrated 25 years last year. So it was a good time to release it as well. And we had some good results for a wider range of DLCs as well. Worth mentioning is the All Under Heaven DLC for Crusader Kings III, that expanded the map all the way to Japan. And as I said, the profit line or EBIT is affected by a big write-down of the game Vampire: The Masquerade – Bloodlines 2. And we were also facing some foreign exchange headwinds with a stronger krona and the weaker dollar, among other things. So we'll move on. If you look at the year as a whole, we had a year-on-year improvement of cash flow, which is always a great sign. We strengthened the balance sheet as well during the year and got a new balance on the balance sheet. We released, like I said, a new base game in Europa Universalis 5 and strengthened all the core of our IPs by having a constant flow of releases. We established 2 new franchises as well. So Victoria 3 and Age of Wonders 4 are now both part of our catalog with growing player numbers, and we're going to continue -- and we hope to continue these games for a long time, typically 10 or more years. So we also strengthened our foundation for building up the management games capabilities. We acquired Haemimont Games in February, creators of among other games, Surviving Mars and Tropico 3 and Tropico 4. And we took the Cities: Skylines franchise in-house, and we can already see the positive effects in the community of Cities: Skylines too. So those are all great news. If we want to look specifically at the releases this quarter, I mentioned Europa Universalis 5, I mentioned All Under Heaven. We released Stellaris: Infernals. We released Age of Wonders; Thrones of Blood; Hearts of Iron IV; No Compromise, No Surrender; Victoria 3, Iberian Twilight. And a smaller DLC for Victoria 3 during the same chapter of the game. On the management segment, we did a relaunch of the game Surviving Mars. It's been very popular in the community. We see great retentions. We hope to keep developing this game for a long time as well. And we released finally the first big DLC for Cities: Skylines II, Bridges & Ports, which had great results, great reviews and also good sales. At the same time, we released for Cities: Skylines II, 2 content creator packs and 2 audio packs. So talk about a very busy quarter. Other releases, I touched briefly upon Vampire: The Masquerade – Bloodlines 2 and we also for our deck-builder Across the Obelisk, we released and Necropolis of the Damned, which has been quite well received and also good sales for the franchise. We'll see what happens if we can build that franchise over time together with Surviving Mars. So they're a bit smaller at the moment. All right. And I'll leave to Alex for the numbers, a walk through.
Alexander Bricca: Yes, let's do it. So revenues for the quarter came in at SEK 875 million, quite impressive. It can be compared to the SEK 709 million of Q4 of 2024. So that's an increase of 23%. Let's look at the drivers of that difference, mainly 3 things that make up the difference. Foreign currencies. So dollar was down, I think, 12% if you look at quarter average, euro down was at 5%, 6%. So all in all, it impacts our top line quite significantly in the wrong direction. Then the other 2 positives is the releases of Europa Universalis 5 and Bloodlines 2.
Fredrik Wester: But it's also on revenue, it's our second best quarter ever. The record is still the quarter we released Cities: Skylines II.
Alexander Bricca: Correct 2 years ago?
Fredrik Wester: 3 years…
Alexander Bricca: So these 3 explains the difference, I would say, between SEK 709 million and SEK 875 million. Then we have released content on pretty much all our major franchises during Q4 '25. So that helped the revenue significantly. But Q4 2024 was also a very huge release quarter in terms of live game. So -- but all in all, the live games have performed similar over those 2 quarters if you remove FX impact. So some better in '25 and some better in '24. So you mentioned Crusader Kings III, they did a fantastic Q4 in 2025 and increased revenues. Hearts of Iron on the other hand, they did a fantastic Q4 in 2024 when we released the Gotterdammerung expansion, which was very, very popular. So that was -- we couldn't really match that in Q4 of 2025. Victoria 3 did a little bit better '25. Stellaris a little bit better in '24. It varies with each expansion. Is it a popular expansion? And do we get it right or less so. So that differs. But all in all, live games performed very similar on a revenue level, it's similar effect.
Fredrik Wester: Yes, solid performance from the core portfolio…
Alexander Bricca: Correct. So top revenue contributors, we normally call them the usual 5 suspects, Cities, Crusader Kings, Hearts of Iron, Stellaris. Now we have added 2 to that list, Victoria and Age of Wonders.
Fredrik Wester: So the usual 7.
Alexander Bricca: Then, it will be the usual 7. But good to see both Cities 1 and Cities 2 are on this list if you break out the franchises and separate them. And in Q4 '25, we also had an 8th, and that is Bloodlines. Even though it had a negative impact on profit, it had significant revenues. Let's move on. Operating profit, minus SEK 245 million compared to SEK 395 million in the previous year's quarter. SEK 395 million was a record profit. So it's a difference of SEK 640 million. And the ones of you that followed our press releases in November when we took the write-down of Bloodlines, you know that we had SEK 701 million in amortizations and write-downs of Bloodlines 2 in Q4 '25, which we had 0, of course, in '24. So those SEK 701 million explains more than the difference of the SEK 640 million, you could say, if you want to do it super high level.
Fredrik Wester: Yes, we chose to clean out the balance sheet. So it looks completely different today starting in '26.
Alexander Bricca: Correct. So if you would disregard our Bloodlines 2, we would be at this record-breaking levels of EBIT despite the FX headwind.
Fredrik Wester: Yes. That's great news because the dollar is down significantly.
Alexander Bricca: It is. So profit after financial items, SEK 242 million compared to SEK 404 million, profit after tax SEK 201 million compared to SEK 311 million. And of course, profit margin is minus 28% and compared to 57%, which was a record high in Q4 of 2024. Asset or equity to asset ratio, very solid 79%. It has gone down a little bit from 82%. It's mainly driven by -- we prolonged the lease contract for the office here in Stockholm, with the accounting rules, you put the whole contractual agreement, the value of it on the balance sheet as a debt and as an asset.
Fredrik Wester: All the years into the future.
Alexander Bricca: All the years, exactly. Employees, average number in Q4 of '25 was 663. So that's up almost 90 -- 89 from 574 year before. The main driver is, of course, adding Haemimont to the team.
Fredrik Wester: 55 people there.
Alexander Bricca: 55 people at the acquisition. And then we have increased a little bit in Haemimont. Iceflake, we have increased in order to be ready to support Cities: Skylines. We have increased here in Stockholm Studio as well. Triumph has increased a bit as well. So a solid number. Let's move on. Right. So this is a breakdown revenue, green and the 3 cost items in yellow, blue and red. Let's go through them and break them out a bit so we can all understand what has happened. So cost of goods sold, biggest item, SEK 1 billion pretty much exactly in Q4 2025, up from SEK 263 million the previous quarter. So a super quick explanation would be to say it's the SEK 701 million in amortization and write-down of Bloodlines that makes up the difference. Then there is something left, and that's, of course, amortizations on EU5. So that is a very high level. But let's go down…
Fredrik Wester: We see the selling expenses in blue, right?
Alexander Bricca: Selling expenses in blue. That's the same drivers.
Fredrik Wester: It goes was up when we release a lot of content, as you can see on the line there as well.
Alexander Bricca: Yes. So it goes -- it was SEK 59 million in Q4 of '24, and it goes up to SEK 85 million -- SEK 84 million in Q4 of 2025. And the big explanation is releasing EU5 and Bloodlines that drove more marketing cost. The rest was very stable. So -- but SEK 59 million is a decent number, and that's because we have had a lot of releases on the live games, both in '24 and '25 years Q4. But let's go back a little bit to COGS and break it down for you who are interested in that. Amortization is the biggest item, SEK 510 million in Q4. Last year's or the previous year's Q4 was SEK 91 million, so it's up SEK 419 million. And we have written in the report Bloodlines SEK 346 million of that increase. And the rest is pretty much EU5. Then we have movements up and down on all the other titles, but mainly, it's the releases of Bloodlines and EU5 that has made up the difference. Write-downs is another item in the SEK 1 billion COGS. Write-downs was SEK 355 million, 100% regards Bloodlines, the previous year's Q4, 0 write-down. Then we take in COGS, SEK 8 million as cost for amortizations of the acquired businesses and assets. So this is down from SEK 14 million in the previous year's Q4. The reason it's down is because in 2020, we acquired Playrion and that was last summer, that was fully amortized from the books. But we add that we acquired Haemimont in the beginning of the year and in Q2, we acquired Stranded. So what we have done with the purchase price for those 2 assets is that we have fully allocated that to assets that we amortize.
Fredrik Wester: Yes. So Stranded with Alien Dawn, the game, just to clarify [indiscernible]
Alexander Bricca: Yes. So that is being amortized, I think, over 5 years. Haemimont, there we amortize it quicker. The fixed purchase price, it's amortized according to plan. Then we have taken -- then we have an earn-out for Haemimont as well that goes, I think, over 3 years roughly, and that is being driven by certain milestones being achieved. We have taken -- in 2025, we have taken SEK 32 million as earn-out. So that is all included in the COGS. So of course, we believe that the value of the studio is going to increase when we work together. But in our books, we are taking this as a cost. So it's kind of an aggressive way to do it. It pushes down our profits, but it's a very prudent way to handle it, perhaps overly cautious, but this is how we've always done things in Paradox, and we like to do it that way.
Fredrik Wester: Yes. We have, I think, around SEK 20 million in goodwill.
Alexander Bricca: Yes.
Fredrik Wester: Something like [indiscernible]
Alexander Bricca: Very little. All right. What sales in COGS, other depreciation, SEK 7 million, that's pretty much how the rent is being accounted for. We have royalties that's mainly regarding Age of Wonders and Cities: Skylines. That has gone down from SEK 45 million in Q4 '24 to SEK 35 million in Q4 '25. Then the remaining item, if you have memorized the numbers, then you will find out that we have SEK 85 million left in Q4, which is for noncapitalized development and tech costs in the publishing, so kind of support functions for the game development. So SEK 85 million in Q4 compared to SEK 105 million in Q4 the previous year. And here, we have items that moves both ways. But the main reason why this is lower is that when we have negative profit like we had in Q4, which is very rare, that has an opposite impact on the personnel cost because we share all the profits with the personnel. So a quarter when it's negative, we release previous balance sheet items. So it works like a bit of a hedge.
Fredrik Wester: That's a small positive.
Alexander Bricca: Yes, that's a small positive, correct. Selling expenses, we have already gone through. Admin is everything else. That tends to be quite fixed. So it was SEK 29 million Q4 '25 compared to SEK 25 million in the previous quarter. It might vary from time to time. Here, we have -- the reason why it's SEK 4 million higher this period is one-off things. We had a very massive popular staff conference in September. And part of those cost went into Q4. And then there were some other one-off items that made up SEK 1 million or SEK 2 million, so it differs from quarter-to-quarter.
Fredrik Wester: Other income, I guess, is interest rate on money in the bank.
Alexander Bricca: Other income is mostly currency movements on the working capital. So it's the movements on the foreign currencies during the quarter.
Fredrik Wester: But last year, we also sold back the game Mechabellum to the developers, about SEK 13 million, I think, something in there.
Alexander Bricca: Yes, that’s right.
Fredrik Wester: That's one of the points of comparison in Q4 last year or Q4 in '24.
Alexander Bricca: Exactly. So SEK 13 million or something SEK 12 million, SEK 3 million Mechabellum and the rest building up. So -- then we had some SEK 20 million positive effect last year's Q4 or '24 [indiscernible] we had a very strong dollar increase during that quarter. And this -- the Q4 2025, we have seen the opposite, especially in December, I think the dollar has come down. So there the net, if you add income and expenses together, you have SEK 6 million negative. So that's the difference. Interest, that's a financial item and the reason why it goes down from SEK 9 million to SEK 3.7 million is lower interest rates. Good if you have financed the company with debt, less good if you have cash positions.
Fredrik Wester: If you have a house with a big mortgage, that's perfect.
Alexander Bricca: Yes. But I'd rather take a company with a lot of cash than debt, even though...
Fredrik Wester: I agree.
Alexander Bricca: What else… Yes, let's move on then I think or did you have anything else?
Fredrik Wester: Yes. Look, I say it's good. It's not very good. The result is not very good. But it's good to clean out the balance sheet as we will see in the next slide here.
Alexander Bricca: Well, here we have...
Fredrik Wester: The revenues…
Alexander Bricca: Rolling 12 months of revenue and profit, it shows how volatile it is, but it also shows, especially if you look at the revenue line, there is a steady up growing trend, some accelerations and some falling down, but over time, it's a very strong growth. Profit-wise, it's more difficult to see it because when you have such a massive write-down and amortization like we had in Q4, it distorts the picture a bit.
Fredrik Wester: It impacts a lot. And as you can see in Q4 '23 there, we released this guidance too, we had a peak on revenue on rolling 12. It's sliding down a bit, and now we're turning back up. So...
Alexander Bricca: Yes. Let's say, now cash flow. So profit was or the result EBIT was minus SEK 245 million, but the cash flow is super strong in Q4. So cash flow from operating activities, SEK 513 million. It's not quite a record, but very close to the record we had 2 years ago when we released it too. So SEK 513 million, very strong. Cash flow from investing activities, that was SEK 145 million, that is what we have invested in game development. It's down from SEK 159 million Q4 of the previous year. And if you look a bit further or if you remember our report from 2, 3 years ago, when we had Lamplighters League in production, Bloodlines in production, Life by You in production, then we have come down significantly in cost for development. And now we are at SEK 145 million. I think that's a good representation of the new level that we are with. It fluctuates a bit between the quarter. But I would say SEK 145 million is a good representation of the new normal.
Fredrik Wester: Unless something extraordinary happens, a big investment or requirement [indiscernible]
Alexander Bricca: Sure, sure. Like you see it in Q1, it was -- the yellow bar is a bit bigger, and that's when we acquired Haemimont. So the upfront acquisition price went in as an investment. Do we have any more. No, I think that's it.
Fredrik Wester: Actually, that’s hit. So we're open up for questions. We've got a lot of questions. So I hope you have time to listen to our answers.
Alexander Bricca: So the first one is for you, Fred.
Fredrik Wester: Yes, let's do it.
Alexander Bricca: Could you share how Paradox is thinking about growth opportunities in Asia and whether there is a clear marketing or market entry strategy for that region?
Fredrik Wester: Yes. I mean we've seen a very good growth in -- especially in China, but all over East Asia actually and that's also one of the reasons we expanded the map in Crusader Kings III to actually get more of the Asian users as well, not only make the gameplay more interesting, but we do have specific strategies to get into the Chinese market and the Asian market in general. We have all localized content, for example, we work with specialized PR agencies locally. We work with influencer networks locally. So we're really putting an effort into growing in these markets. And it has paid off for the past 7, 8 years, and we continue to see strong growth. I think China is our second biggest market when it comes to number of gamers. I don't know on revenue, but it's up there as well at these top 5. So yes, we're seeing a lot of positive movements on the Asian market. So Alex, how does Paradox view currency fluctuations such as recent dollar depreciation? And what's your general approach to managing currency risk?
Alexander Bricca: Yes, it's a big impact for us as we could see this quarter. It's a big part of our business and kind of a risk factor for us. We have roughly 97%, 98% of the revenues in foreign currencies. And there, it's a little more than 1/3 that is in U.S. dollars. Almost the same, a little bit less is -- so roughly 1/3, a little bit more is in euros. And the rest is in Chinese yuan, British pounds, Canadian dollar was the dollar, SEK and everything else. So that's the revenue split. Cost-wise, it's a bit different. There, we have roughly 50% in Swedish krona. We have maybe 1/4, so maybe 25% in euros. So that's mainly our foreign studios in Finland, the Netherlands, Bulgaria, Spain, France. And so roughly 25% of the cost is in euros. Roughly 20% has been in dollars over the last year. So that is Marketing, all the tech tools we buy is in dollars. A lot of the external costs are in dollars. And then it's a mix, but the pound has been a big cost the last years because mainly the Chinese yuan that has developed Bloodlines. So if you add it all together, we are -- we depend -- the dollar movement has the biggest impact on us. But we don't -- we have decided to not hedge this. We have a strong cash flow, strong profit margins. So we have taken the decision that we rather live with the direct impact of the [indiscernible]
Fredrik Wester: Yes. I mean we've been doing this for the past 15 years.
Alexander Bricca: Yes. And it has gone -- if you look at over a 10-year period, this has gone in our favor. One more for you, Fred. How is Paradox currently thinking about reinvesting its revenues into existing games and future projects?
Fredrik Wester: Well, obviously, there is a mix in between these things. We have cut down a bit on third-party investments, for example, focusing more on the internal studios. We have more internal studios now as we have more games that we want to make. Obviously, we reinvest in 4 different areas. One is more content for the current games, the live games that we have. One is new titles and sequels within the core segments of what we -- grand strategy games and management games. And the lion's share there goes, as I said, to internally developed projects. A minor part is allocated to experimental projects and smaller projects in adjacent sectors, games that could be similar to Paradox games, but not necessarily GSEs or management games. And last, less frequently occurring are -- that we buy things, IP or studios like Haemimont last year. However, the core should come from the investments that we make and not from the acquisitions that we do is probably generally the ground rule. Alex, are share buybacks something Paradox considered as part of its capital allocation strategy?
Alexander Bricca: No, it's not now because we are -- our shares are listed on Nasdaq First North. And there, you can't do buybacks, at least not in a good way. So as long as we are on that list, we can't do buybacks.
Fredrik Wester: It's limited too.
Alexander Bricca: Yes, we are using dividends instead. In a situation where we would change list, then of course, that is a tool that would open up.
Fredrik Wester: Yes, theoretically in the future.
Alexander Bricca: Yes. More questions for you. The size of your catalogs can create a high entry barrier for new players. Are you exploring alternative long-term approaches to improve accessibility to legacy content, such as price restructuring or bundling strategies?
Fredrik Wester: Yes. We're well aware that if you go in and see a barge of DLCs, it might be a bit off putting to buy the game directly if you're a new gamer. But we -- like I mentioned, we do bundlings to get different types of starter packs to make it easier to get on board. We also work with pricing in different territories, but also deep discounting and the publisher weekends and whatnot. We also have DLC subscriptions on -- is it a majority of our games or at least maybe half of our games. So that's an option as well. So you pay a smaller sum to try everything out and you can do it on a monthly basis. So those are the strategies we've tried so far, and they're working really well. But we continue to try to make our offerings more appealing to more gamers. That's for sure. Right. Alex, do you see a Capital Markets Day as something that could be relevant for Paradox in the future?
Alexander Bricca: I think so. I think it's about time to do one. Is it 3 years ago? May '23, we had one. I think now it makes good sense. We have cleaned up the balance sheet. We are finally at a position strategically that we have been talking about for a few years where we want to take the company to, where we have a solid balance sheet and strong cash flow and razor focus on what we're doing. So it's a good idea. I think we should plan for one.
Fredrik Wester: Yes, we should. Very good. Let's do it.
Alexander Bricca: Let's do it. Fred, I feel like I've heard this sentence from Paradox before, there's a quote, "Strengthening our strategic focus." I think it's from the CEO word. What's different this time?
Fredrik Wester: It is not different this time. That's the thing. So this is what we've been working for in the past 3, 4 years, at least to see focus on what we do best, continue to do that and also release the projects that we still had in pipeline, and then we have sort of a new slate to start with. So I mean, we start with almost -- not a blank paper today because we have a great pipeline of games coming out, but it's a different balance sheet and it's a different new year. So still proof is in the pudding. So we have to continue to deliver great stuff, both for our live games and for the games coming out. And I think we have Prison Architect 2 is the one that we announced. We're going to be happy to show more of, hopefully, this spring, but we'll see exactly the time line for that. But nothing changes. Everything is new. Is that how they say. I think that summarizes it. Alex, with a more focused release pipeline compared to previous years, how is Paradox thinking about capital expenditure and the use of increased free cash flow going forward?
Alexander Bricca: I think you have touched a bit upon it already, Fred, but what we spend most of our cash to is development, development of new games and new content for the live games. That's how we've been doing it the last years, and that's how we're going to continue to do it. And the second-best part we can do, I think, is if we find attractive assets that we can acquire studios or IPs. But we are -- we have high requirements on both. So if we're going to acquire something, we have high requirements on the risk-reward offering. When we invest in new projects, we have now very strict requirements on the risk/reward offering as well. And we have a very strong cash flow from our operating activities. So that means that we are generating more cash than we like to spend. And that excess cash, it should go out to the shareholders. And we set out in the report SEK 5 as a proposed dividend to the Annual Shareholders Meeting in May.
Fredrik Wester: More questions?
Alexander Bricca: Yes. Fred, this is for you. Many companies are expanding their IPs beyond games into other products and media. How does Paradox think about brand extension and additional revenue streams outside of traditional game development?
Fredrik Wester: Yes. I mean we have been experimenting a bit with this. We do merchandising. We do board games. We do licenses to other video games companies for some of our IP, most notably White Wolf IP. But it's a great way to strengthen IP recognition. It hasn't had any significant impact on revenue or profit, but it's still a good way to keep the IP alive and to reach new target audiences. So this is something we're going to continue. I mean there are no -- just -- I think what they're after here is like a TV dealer equivalent. There's nothing like that on the table at the moment. But who knows in the future, but I think we need to work more on deepening and strengthening our IP as they are. We work a lot with history in our Grand Strategy games. We work with the fantasy IP in Age of Wonders. We work with Stellaris, for example, that are very strong or Stellaris and Age of Wonders are their own IP where we own everything. When you use history as your background, it's harder to sort of work with the IP, if you like. But also the White Wolf catalog offers a wide range of really interesting ways to expand into new universes of opportunities.
Alexander Bricca: Exciting.
Fredrik Wester: Yes. Alex, last year, Victoria 3 had many very well-received DLCs and updates. The team behind the game is doing great work. Maybe this is from the Victoria 3 team. It sounds like, especially with communications later in my opinion. Do you see a positive effect of the well-received DLCs and updates financially? And is the game generally on a positive trajectory?
Alexander Bricca: Someone that works in communications.
Fredrik Wester: For Victoria 3.
Alexander Bricca: Exactly. But it's a great question regardless who it's from. Yes, we have seen a strong positive effect since Q2 when we released, I forgot the name of it, but...
Fredrik Wester: The trade expansion.
Alexander Bricca: Yes. It put…
Fredrik Wester: Chambers of Commerce, thank you very much, our camera man. He knows his games.
Alexander Bricca: So with that release, especially, there were signs…
Fredrik Wester: Charters of commerce. Sorry, not Chambers of... Charters of Commerce. Sorry to interrupt...
Alexander Bricca: So with that release, something happened with the monthly active users. And so we got up to a healthy level and also the studio has made good work efficiency-wise. So now that game has reached a level of healthy profit margins...
Fredrik Wester: And good retention.
Alexander Bricca: Good retention. And with that comes a stable, strong revenue level as well. And we foresee that it's going to continue like that. So we very much look forward to treat this as like a staple in our portfolio for '26 and for the following years.
Fredrik Wester: That's right. It's a great game. Go play it.
Alexander Bricca: Fred, will the Tinto Talks method used in the development and lead up to EU5 become the standard for future Paradox releases as it seems to have worked with great success with EU5? Or will it be up to the individual studio leads discretion as to how to handle community outreach and feedback?
Fredrik Wester: As a ground rule, we prefer that the studio handle their own way of communicating the way they feel is the most comfortable and best way to explain and talk about their game, but we always encourage direct talks to the community because it's a great way to receive feedback and to change things in the game that might need some feedback from people who love our games and spend a lot of time with our games. So I think Tinto Talks is a great framework on how to operate, but we will continue to encourage the studios to find their own way to connect to the community. But it's great. I really like that. I really enjoyed it personally to watch. Alex, how has Paradox monthly active users developed?
Alexander Bricca: It's 6 million. It varies from time to time. We have sometimes been up well above 6 million, but we only talk about full million. So we want to be stable at 7 million before we start to say 7 million.
Fredrik Wester: Can we say that we've been above 7 million as well? I think we have.
Alexander Bricca: You just said it, so…
Fredrik Wester: I just said it. But not until it's a stable level. We want to communicate it.
Alexander Bricca: Yes. Because the number we communicate is where we are stable.
Fredrik Wester: We don't count spikes as something that we want to communicate. I said it.
Alexander Bricca: Exactly. Correct. Good. Okay. More questions. Fred. Where do you think growth will come from versus last year? Will it be higher DLC velocity, new game releases, pricing, player base increasing?
Fredrik Wester: If the answer can be all of the above, I choose to answer all of the above. But I think say -- we have a couple of examples here that will grow over a couple of years coming. As we mentioned, Victoria 3 and Age of Wonders 4 are now more stable, have better retention. They have stable release schedules. So our view is that they're going to continue to grow. You can see that the Europa Universalis franchise has been declining over a couple of years because we made less DLCs and material for Europa Universalis IV because we were working on V. So we're looking for V to grow over the next couple of years sort of not automatically because we can't just sit on our assets and wait for it to happen, we actually have to work actively with it, but that's something that we see as one of the core growth things within live games. But we will also continue to grow our live games, both on number of releases, hopefully, and the number of gamers by attracting people more often to come back and play the game. Of course, I mean, the larger jumps in revenue can come from a new release. If we get more games out this year, it's spiking in revenue as well. But we want to have it from actually several different sources, the revenue growth. So it all adds up. Alex, how should we view a risk for a write-down in Europa Universalis V?
Alexander Bricca: That's a low risk. When we look at the risks or when we look at the write-downs we have made over the last years, it has been on projects where we are kind of far outside of our core. Europa Universalis V is as in the middle as we can get in our core. And now we don't break up normally and share revenues and profit by game, but Europa Universalis was highly profitable already in its release quarter, so in Q4. And we expect that it's going to continue to be highly profitable for many, many years. So…
Fredrik Wester: And as you can see, I mean, initially, you get a huge spike of gamers. It slows down a bit, which is natural. And then we continue to grow from the [indiscernible] slope there. And that's true for all our games. If you take Hearts of Iron is going into its 10th year in June, it's going to turn 10. And we have more gamers than ever on a monthly basis for Hearts of Iron IV. So that's basically how we operate. So we focus on the retention and the retention brings revenue with it. So, that’s it. Alex again, could you maybe quantify the FX hit on the P&L? Would you break out the sales from the new releases in the quarter in order to get a feel for the performance in the back book?
Alexander Bricca: The short answer is no.
Fredrik Wester: And do some math in your head…
Alexander Bricca: So we got another question whether -- to what extent we're impacted by FX and I gave you the rough split of the revenues and the costs in currency. So you can do your own…
Fredrik Wester: You do your own math.
Alexander Bricca: Exactly. But of course, as any exporting company, we are doing great when the Swedish krona is doing less great.
Fredrik Wester: Yes. So 3% is krona and the rest is foreign currency.
Alexander Bricca: In the revenue, yes.
Fredrik Wester: Something like that.
Alexander Bricca: Exactly.
Fredrik Wester: And there was a sub-question, would you break out the sales from the new releases in the quarter? No, we don't go into that level of detail.
Alexander Bricca: No.
Fredrik Wester: So that was the final question. So thank you for watching. It was, like we said, a very intense quarter with not a great outcome due to different reasons that we have explained now.
Alexander Bricca: Profit-wise, but…
Fredrik Wester: Profit-wise, but cash flow-wise, exceptional actually, even by our standards. And I think just to summarize, I think we're in a great place to do great things in the coming years. I hope you continue to follow us, and thanks a lot.
Alexander Bricca: Thanks for watching. And see you in end of April with Q1 report.
Fredrik Wester: See you then. Take care.
Alexander Bricca: Bye.
Fredrik Wester: Bye.